Stefan Wikstrand: All right. It seems to have stabilized. Well then, welcome everyone. As usual, you will be in listen-only mode during the presentation, and then when we get to the Q&A, you can either raise your hand and ask a question verbally, or you can post a question in the Q&A box and we'll read them up and answer them accordingly. Yes, with that, I will hand over to our CEO, Vlad Suglobov.
Vlad Suglobov: Thank you, Stefan, and very good morning everyone and welcome to G5's Q3 call. We'll take about 10-15 minutes to run through the presentation of the results and then we'll open the line for questions, and you can type your questions into the Q&A box if you can find one. So, I'll start a brief overview of this morning's report. Revenue was SEK 270 million, which was 17% lower than last year in Swedish krona and 14% lower in USD terms. Our active games also fell by about 14% in USD terms with monetization metrics actually improving year-over-year. Active games are the games that are our own, which are actively managed and thus receive regular updates as opposed to the small portion of games we have in our portfolio in what we call a harvest mode. Monthly average gross revenue per paying user was continuously strong at $64.9. G5 Store, a big bright spot for us, continues to show strong growth and now makes up 17.1% of total net revenue versus 12.1% a year ago. As you know, G5 Store has low processing fees, lower than alternatives. Alternative stores that we use, which charge anywhere between 12% to 30% and growth for G5 Store was 22% year-over-year in SEK and 27% in USD terms. Sequentially, G5 store grew 6% in SEK and 8% in USD terms, Q2 to Q3. So, quite impressive growth year-over-year, but also sequentially, obviously it helps expand our gross margins because the store fees are lower in G5 Store. Our UA was 19% of revenue versus 19% last year, so about the same level. Again, thanks to G5 store our gross margin increased to an all-time high of 68.8% compared to 68.1% last year. We also launched an interesting new initiative that we call G5 Store Web Bank for our mobile audience, which allows people who play on mobile devices to make payments to G5 directly through G5 Store web interface rather than through the platform shops. It is off to a good start and we just launched it a couple weeks ago. In the future this can also contribute to the expansion of the gross margin if we're able to get more revenue flowing through that monetization channel. Earnings per share was SEK 3.14 for the quarter compared to SEK 3.83 last year. Our cash position at the end of the quarter stood at a record high SEK 246 million compared to SEK 184 million last year. We have zero debt and a solid cash flow, something we are very proud of. Now, let's look at the strong performance and gross margin of Q3. Our own games stood for over 70% of net revenue during the quarter, basically on the same level as in the third quarter last year. Active games made up 63% of the quarter's revenue in line with the 63% in Q3 last year, so no changes there. Gross margin again came in at an all-time high of 68.8%, rising from 68.1% the year before, and this is primarily driven by the fast growth of G5 Store. Monthly average gross revenue per paying user was strong at $64.9 compared to $63.2 one year ago. Let's continue with G5's operating margin. Our operating profit or EBIT was SEK 22.9 million compared to SEK 22.3 million a year before. This gave us an EBIT margin of 8.5% in Q3. During the quarter, EBIT was negatively impacted by some reevaluations related to FX, primarily from SEK-USD exchange rate, but it was a small amount. At the same time, net capitalization impacted earnings with minus SEK 5.4 million compared to minus SEK 13.1 million a year ago. Now, let's talk about our cash position. We pride ourselves of course on having a strong balance sheet, and this quarter was no exception. Movement of working capital was positive SEK 27.2 million compared to a negative last year of minus SEK 17.5. Our capitalization impact on cash flow was minus SEK 25.5 million versus minus SEK 27.5 million last year. The total cash flow during the third quarter was SEK 53.3 million compared to SEK 9.7 million last year. Total cash at the end of the period stood at a record high SEK 246 million, up from SEK 184 million a year before. You can see that even if we adjust for the movement and the working capital, it still remains a record amount for the third quarter. So, let's start to wrap it up and have a look at some final thoughts here. So, we continue to focus on the development of our new games and active portfolio, and we are optimistic that our operational efficiency and strategic adjustments will continue to drive profitability. We now have 30 game ideas in pre-production and early development stages. In the quarter, we made 14 iterations on various games. Some have moved in the funnel and some have been further refined in order to progress to the next stage. During the quarter, we stopped the development of one game, meaning one of the games in the soft launch, but at the same time we filled up the pipeline with a new game. So, there's a lot of work ongoing with regard to a new product portfolio, a lot of internal iterations, a lot of design testing, trying to converge on a game or several games that we could launch globally. Another point, as you can see from the figures, G5 Store is continuing to grow fast and continues to drive higher margins, something we expect to continue in the future as well. We are also optimistic about monetizing our mobile audience through the G5 Store Web Bank. It's a little early, but we'll have more information on how that goes the next quarter. We have maintained UA in the range we have announced, 17% to 22% and we intend to continue to do so. We retain a strong cash position. We are profitable, cash flow positive, and we have zero debt. With the strongest September to October revenue increase that we've seen since 2020, we see positive momentum going into the seasonally strong Q4 and Q1 and obviously a very welcome sign for us. At that, I would like to thank you and thank all involved teams at G5 for the hard work on our new games and our existing portfolio. I look forward to the prosperous future of the company. Thank you for following G5 and connecting to our call today. So, this is the end of the presentation, and let's open the line for questions. Stefan, do we do voice questions and then?
A - Stefan Wikstrand: Yes, let's -- [multiple speakers]
Vlad Suglobov: How would you like to do it?
Stefan Wikstrand: I see we have already here. We have Hjalmar from Redeye. You are on mute. Now you can speak, yes.
Hjalmar Ahlberg: Thank you. Yes, maybe start with the interesting thing that you ended with. We heard that the revenue growth was substantial in October. Can you give some flavor on that? I mean, was it some specific game in a specific region? Or anything you can add on that?
Vlad Suglobov: Yes. So, before COVID, we had this normal situation where October would sequentially be quite stronger than September. At whatever level September was, then October would be stronger. Somehow after 2020, that didn't happen in any of the consecutive years. And then, we saw this this year. I tried looking into where exactly it happened that I couldn't locate it. So, it looked more broader among pretty much all games, maybe with a little bit more in our own games. So, I wasn't quite sure what to make of it. So, it looks broad-based, basically and we'll see if that continues. But September wasn't abnormally small or anything like that, to preempt a question, which may have been asked already. So, it is encouraging, but it's still early days of November, of course. But it's an interesting development.
Hjalmar Ahlberg: All right. In terms of UA, do you see any kind of improving returns or anything like that that is helping as well?
Vlad Suglobov: Not necessarily. It's interesting. We see a bit of a divergence internally in terms of user acquisition because with the G5 Store becoming a bigger and bigger channel for the company, we allocate more and more of the UA budget to G5 Store, which improves its growth as well. And then, it's a slightly different situation with mobile. So, we've seen those differences. We haven't really seen any big differences in terms of day-to-day performance. But I know on the user acquisition team level, they usually take into account a more difficult situation in user acquisition towards the end of the year, especially this year with election and then going into high season. But for them, it's like a usual situation at the end of the year. I haven't heard of anything special happening.
Hjalmar Ahlberg: All right. In terms of G5 Store there, I think you may be answered it now, but is it driven by new players coming directly to G5 Store? Or is it mainly old players that move over to this channel?
Vlad Suglobov: Yes, it's a mixed bag. We see that G5 Store certainly attracts players who are more comfortable playing on their personal computers. They have a lot of experience with casual games, but also with our games and PC is their preferred platform to play. So, there's that. And then, there's also audience that we acquire rather than we cross-sell or cross-promote from other platforms and other distribution stores, rather than just -- when we try to educate players that this option is available. So, there's a paid part. There's a part that looks very organic, basically players finding us in the internet through the search terms. And then, as I mentioned, there is a third category. Well, it's basically a very loyal audience that is comfortable enough and prefer to play directly from the source, especially if they're comfortable with personal computers.
Hjalmar Ahlberg: As the final one on the development funnel, do you still believe that one game can be -- [technical difficulty] this year?
Vlad Suglobov: We certainly have interesting games in the pipeline right now. I cannot guarantee that we will have a game out in global launch before the end of the year. But these one or two games per year that we've said, we hope that you understand that this is our average expectation and it may be maybe one year there's nothing, but then a little bit more next year. So, there are certainly interesting games in the pipeline that I am very optimistic about, and I like the development there. So, maybe we do it in the first quarter next year, for example, or in the first half of the next year, but not at the end of this year.
Hjalmar Ahlberg: All right. Thank you.
Vlad Suglobov: Thank you, Hjalmar.
Stefan Wikstrand: Thank you, Hjalmar. And then, we have Simon Jönsson from ABG. Simon, yes, you're allowed to speak.
Simon Jönsson: Good morning, guys. Thank you, Stefan. I hope you can hear me. So, first, just to follow up on Hjalmar's question. Would you say that October is also strong compared to the previous months? I mean, July, August, et cetera. I'm just trying to understand if there was any temporary effect comparing with September or something like that.
Vlad Suglobov: Yes, there was no temporary effect with September. So, September was pretty much -- we were more or less flat the months that you mentioned. And so, October is a positive development from that platform. So, that's why we thought it's newsworthy.
Simon Jönsson: Okay, excellent. Thank you. And also, I'm wondering if the improving trend you have seen here in October is something that you have heard or seen among other market participants and a few peers, or is this something you have sort of -- [multiple speakers] I'm trying -- yes. Sorry.
Vlad Suglobov: Yes. Sorry, I started answering too early. But this month is not very heavy on industry conferences. So, we didn't really have a chance to discuss this. So, I honestly don't know.
Simon Jönsson: Okay, cool. Finally, talking about the overall market trends and conditions, especially for releasing new games and scaling new and existing games, do you think that marketing and marketing conditions are still difficult? Or has anything changed? Or is anything currently changing, you would say, in the market environment?
Vlad Suglobov: Well, I think my view of this probably hasn't changed much in the last couple of quarters. It is hard to say that the situation is so terrible, and you can't achieve success while this year is the year when some games are basically setting records for the revenues ever created by a new game on mobile, right? So, we have successes in front of us, and we can look at these successes and admire these successes. However, this success seems to be very concentrated in a small number of products and companies. And then, for the rest of the market, the situation is quite a bit different. Yes, I think it's a little bit harder than before to market games, a little bit more difficult maybe with niche games. But I think everyone is more or less in the same situation, and people get by and manage. We can see that there are success cases even in this new environment. So, my view is that we just need to keep working, to keep thinking and solving it and improving our marketing; coming up first and foremost with some new and interesting games that can stand out in the market, and through that, they can be scalable even in a more challenging marketing environment, that's my idea, at least.
Simon Jönsson: Makes sense. Thank you. Maybe one more from me, in terms of how the consumer is doing in general. If you look at other industries, other consumer-related industries, it's still very tough out there. So, I'm wondering if you have seen any change or shift in how your consumers are paying and spending money. Are the average players spending less? Or do you see that maybe there are fewer that spend more or something like that?
Vlad Suglobov: Well, if anything, our monetization metrics are going up, right? But since our overall audience was rather declining recently, we're not sure if this is because of improved purchasing ability or because just people who pay less fall off, basically. And then, we have a better golden cohort, so to speak, and then average metrics look better. But this development in October is interesting because it coincided a little bit with certain fiscal changes. Should I say monetary? But nonetheless, so, it might be that this had some effect, even if psychological, people start expecting better financing conditions in the future. But I mean, it's merely a speculation on my behalf. It's hard to say. We're certainly not in a position to try to make conclusions about the economic situation of our users, although I'll think about it. Maybe we'll run some economic survey on our players, but we haven't thought about it yet.
Simon Jönsson: Okay, makes sense. Thank you, guys. That's all for me.
Vlad Suglobov: Thank you, Simon. Stefan Wikstrand: Thank you. And then, we have [Kristoffer Skjelbred] (ph). Let's see if I butchered that last name. Oh, he lowered his hand. Okay. So, may be not then. Unfortunately, I have some issues getting this Q&A box working, but I think, Vlad, you could see it and see if we have any questions in there.
Vlad Suglobov: I can see it. Yes. So, first question is from [Eric Larson] (ph), and the question is, interesting comments on October performance. Did you see any impact on UA from the US elections? I haven't heard from our UA team anything about it, but also they are aware that this is supposed to be a tough season to acquire. But I think they were deploying their acquisition budget slightly on the lower side in October, maybe because of that. So, that's what I know. Then, we have a question from anonymous about whether September was abnormal or normal in terms of revenue. So, as I mentioned, there was no dip or anything that made October just return to normal. So, it was more of a pattern of sequential growth from a level that's been normal for a while. Next question that I see here is from [Mr. Ferte] (ph). Are your games located in the cloud? In a way, yes. The progress that the player creates within our games is stored in the cloud. They do have, by default, an account created for them. We try not to force them to actually register with their email or something. It's a soft registration process. But at any moment in time, they actually have their progress stored in the cloud. And if they're sophisticated enough to actually put in an email or at least remember a login and password that's provided to them, they can easily transfer progress from one platform to another. There's very little technical competence required. It happens automatically if you grasp the concept of an account with a password. We're trying to make it even easier for them. A lot of people actually do transfer their progress between platforms so they can take their progress with them, or you can even play our game on a computer when you're at home, and then on your iPhone on the go when you're commuting, you can just continue playing. You don't need to do anything to synchronize your progress. It's going to be automatic as long as you're logged in into the same account on both devices. So, that's how it works. It also makes it easy for us to create solutions like G5 Store and G5 Store Web Bank, because then the purchases also happen in the cloud, and you don't really need to be in the app to make a purchase. You can be in G5 Store Web Bank interface. It's actually store.g5.com. You can try it for yourself if you just go to this URL, store.g5.com. If you play any of our games and you log in into that store, you can make purchases into our games directly from the web interface. It works both on PC and on your iPhone, and then you can play anywhere. It's similar to what other companies have, obviously, in the field. We were a little bit late to launching this web bank, but we did it now, and that's a good development. Next question is from anonymous at ND. The question is, is there some reason that you would like to have a larger cash position today than a couple of years ago? Better possibilities to make acquisitions, et cetera? Or is it more an effect of the strong cash flow? It is certainly an effect of a strong cash flow. Even though we've made quite a few buybacks this year, and obviously, we paid a large dividend in the second quarter, still, we generate a solid cash flow that, over the course of the year at least and expected to continue, is actually higher than our EBIT. That is what's happening. It's good to have a flexibility and have some extra capital in a situation where we need to finance marketing and evolution and development of new games. In case of any opportunities arise, having sufficient capital to pursue these opportunities seems like a wise position to be in. Kristoffer actually wrote that he still has questions. He lowered his hand a bit too quickly. Maybe we can let him speak. Stefan Wikstrand: Yes. Let's invite him on. Kristoffer, you're invited to speak. Maybe it was I who fat fingered your raised hand before, but now you're live.
Unidentified Analyst: Can you hear me?
Stefan Wikstrand: Yes, we can.
Unidentified Analyst: Yes. Excellent. All right. So, I'm a private investor. So, I'm also an owner in a company. Admittedly, I haven't been for terribly long. So, my questions, when I've gone through reports, I haven't been able to find very good answers to these questions, but you may have answered them elsewhere, so, please pardon. First off, I was wondering, what is your long-term vision for the company? Where are we in 5, 10 years, would you say?
Vlad Suglobov: Well, the vision is that we operate a portfolio of games and we do our best to evolve these games. We do our best to try to create new games that would be popular and successful and hopefully more popular and more successful than our previous games. And then, we launch new games on a platform of our existing audience and our existing portfolio. Our games tend to have very strong longevity. If you look at our biggest games, some have been developed four years ago and launched four years ago, but some have been launched almost 10 years ago now. So, there's a very long tale of sales, very long tale of operating these games as services and continuing to generate profits over the years. We know our audience pretty well and we aim to deliver games that will take us to the next level. Speaking of where this level can be, we can see that there are substantially larger companies that achieve substantially higher revenues with the games in similar genres to us. So, we see ourselves as not a very small company, but also certainly not a company that is too large to expect to not be able to find a game that changes our situation substantially. So, what we dream about is finding a game that can create an opportunity for the company to grow substantially. Not unlike what happened between 2015 and 2020, when there were specific games that propelled the company to the new platform. So, we're working towards repeating that situation, essentially.
Unidentified Analyst: Very well. So, I think we have a strong position in the niche of women 35-plus. Do you foresee that this will continue to be the main area we play in? Or do you foresee or have ambitions to expand?
Vlad Suglobov: Well, I think all companies in the games industry, they tend to find their audience and really focus on their audience, right? You don't expect companies making first person shooters to start suddenly making hidden object games for women and vice versa. So, I think our area of concentration will still be there, but we will also try to expand into more gender-neutral genres, so to speak. Match 3 on average is probably more 50-50 rather than 70-30, male-female. And so, our ambition is to try to go there and try to find and make successful games that would be more generally appealing. But we certainly want to stay within the area of casual.
Unidentified Analyst: Yes, that's good. So, when I've compared admittedly then limited comparisons with, for instance, Hidden City, I showed up with a couple of the other games such as Jude's Journey from Playtika. The latter seems somewhat more polished, seems like they have a stronger story, things like this. My hypothesis is it shouldn't be terribly hard for us to build to the same level of polish. But I was wondering what's your ambitions and what's your benchmark in the market? What are you aiming for, if you will?
Vlad Suglobov: Well, here's the problem with these comparisons. I mean, when you know that Jude's Journey is the biggest game in Hidden Object and then you start comparing it to other games, then basically, you spot differences and you think that these are positive differences since this game sells better. The truth is, or the difficulty is, is that if I showed you -- if you never looked even in the structure of the market and I showed you Jude's Journey and some other game, not even G5's game, but some other game that's there on the application store in the same genre, and you would play both, you probably wouldn't be able to guess their sales numbers. So, the secret of success of these games, it's at the same time on the surface, but it's also not. It's like with movies. You compare two movies and you say, "Oh, this one's more polished," right? But you look at that as a consumer, that's your impression as consumer. What goes into creating a movie that really, really sticks. It's hard to really quantify from the consumer's view. So, to answer your question, we do have a methodology that we are evolving as any company out there, trying to understand what drives the success. We have a certain methodology, which looks at certain KPIs and analyzes these KPIs and works towards improving these KPIs. Our ambition is to find games that would be leading games in the genre. We achieved it on a couple of occasions. We were number one in hidden object games by the size of the market share. We're currently not, but we're still trying. We have our way of thinking about it. Our game, Sherlock, for example, launched in 2020, achieved really good results in this market. We have a decent chunk of the market and the niches that we are in. I think it shows that we have certain understanding of how these games are made. We will continue to pursue our thoughts on how can we do it better. So, I just think the simplicity of your suggestion that we just -- it shouldn't be terribly difficult to do a little bit better. It shouldn't be, but I think it also might not really help because it's a very subjective view of the end user what is polished, what is not, and what really drives the scalability of the game.
Unidentified Analyst: Yes, makes sense. Is the shift in terms of resources and reallocation of resources out of Russia still ongoing?
Vlad Suglobov: It's happening. Relocations are still happening. Relocations are happening from not only -- well, anyway. Within Europe, basically, we see people moving out of Ukraine and trying to settle in a place. And then, we obviously have people who moved out of Russia and then they're trying to settle in a certain place. They sometimes relocate to other countries later, but it is certainly ongoing. Yes.
Unidentified Analyst: Yes. I can only imagine that poses some challenges in terms of resource use and perhaps ongoing processes, the development funnel, things like that.
Vlad Suglobov: But it's a great exercise in remote work, yes.
Unidentified Analyst: Yes. Would you say the slump in sales that has been for the past year and a half or thereabouts, would you say that's primarily due to, for instance, the shift away from licensed games and changes to the development funnel, organization challenges with the whole, what we spoke about with relocation of resources? Or is it more of a market change, would you say?
Vlad Suglobov: We saw the change in the direction of the revenue pretty much at the same time as other game companies and basically coming out of COVID and then with the wave of inflation. I would say that was the point where it all began. And then, from there, I know for some companies out there, the drop in revenue was very dramatic. We are in the middle there. We are doing pretty well, I think, still holding to the users that we have and maintaining profitability, all things considered. I think there's certainly this macro aspect. But another thing is that our portfolio is more mature now. We certainly need new games to maintain interest of our audience. In absence of new games that can bring in new audiences, we have our reliable, tried and tested mature games, which will continue driving in revenues. They will obviously fluctuate in line with the macro situation. So, if there will be an upturn in the overall market, we would probably see that in the sales for a mature portfolio as well as we saw during the upturn in the whole market during the COVID years. So, there's that dependency. But also on top of that, we obviously need to launch new scalable games to compensate for the gradual decline in the revenue. But the good news is that through this process, we can stay profitable and we have the funds to continue doing the marketing and the development of the new games and still be profitable while doing it.
Unidentified Analyst: Thank you. Last question, given the current conditions and pricing of the company, would you expect to continue the buyback of shares?
Vlad Suglobov: Well, we take it on an ongoing basis. We have a mandate from the board to continue with the buybacks. It's good to have extra capital on the account for the opportunities that may arise. We just paid the dividend in the second quarter. And yes, we'll consider buybacks certainly. We've been doing quite a lot of buybacks over the last few years, and we intend to continue doing it.
Unidentified Analyst: Very well. Thank you very much, Vlad.
Vlad Suglobov: Thank you, Kristoffer.
Stefan Wikstrand: Thank you. No one else had raised their hands. I don't know. Do we have any new questions in the Q&A box?
Vlad Suglobov: There is a question, actually. And the question is, if there are opportunities on the market, do you prefer to buy assets, games, or hire the team behind the game? Well, I think it's difficult to give those very general answers. But in my view, I mean, generally, team in mobile games is a liability in itself, right? So, even a team with an idea, it's a liability. For that liability, you get a chance to see if their idea is worth it, right? It costs hundreds of thousands, if not millions of dollars to find out. So, I generally think that buying a game with the team makes a lot more sense than just hiring the team behind the game. If we're speaking about a team that has accomplished something, they've made a game, for example, and then you just hire them, but the game stays elsewhere, well, if that game is a success, someone else may take over, will take over, and run with the success. But the team would have to create the game from scratch. In the market, which is so dynamic, it can be different to just go and create a hit after hit after hit. When you have a hit, a great thing has happened, and you better focus on scaling that as much as possible. Just taking the same group of people and telling them, "Well, now make another game," it's not guaranteed to create a hit. We have that situation, right? We have all the people who created all the Jewels games and Sherlock as well, but it's difficult to do it predictably over and over again, right? It's a very tricky process. So, yes, it's a long answer to a short question, but I would say buying a game makes more sense. All right. Since we don't have any more questions -- yes?
Stefan Wikstrand: If there's nothing else, yes, I think we'll wrap it up here. I'll stop sharing. Any final remarks, Vlad?
Vlad Suglobov: Well, just thank you for following us. I appreciate you connecting to our call on this news busy morning, and have a very good day.
Stefan Wikstrand: Thank you, all.